Stephan Shakespeare: Thank you, everybody, for tuning in. This is Stephan Shakespeare, CEO and Founder, Co-Founder of YouGov. I have with me Alex McIntosh, the CFO; Sundip Chahal, the COO. And we are very happy to present to you, we think, a very good set of numbers. Just waiting for a few more people to come in, and thank you, Hannah. Just waiting for the next slide. Yes. So we have top line growth ahead of expectations. These are record numbers. In the sales area, we're having record sales months -- month-by-month. We've got great momentum. So it's been a good half year. That pipeline of sales is sustaining its momentum and yet, we are continuing -- and yet it allows us, I should say, to continue to invest in support of future growth. As you know, and we'll be addressing this directly later, as you know, we have a very challenging 4-year plan. we feel very much in control of that plan, that the things are moving well in that direction, and we'll talk about that properly later. But please realize that we are very much looking at beyond that plan as well into the second phase of the YouGov platform, which has been under development and which we have been investing in significantly. We've been investing in an expansion of YouGov profile, some expansion of ratings into a second level -- second version of our self-service tool, and we are really building heavily into this next phase of YouGov, even as we plan to complete on second 4-year plan. So for the details of these great numbers, I hand you over to Alex.
Alex McIntosh: Thank you, Stephan. Very pleased to be reporting a strong set of numbers, really building on the sales momentum, which we're flagging in half 1 last year, and we saw continuing into the second half. And I'm very pleased to say we continue to see very strong sales performance throughout this current financial year. Not all of that has converted to revenue. We do have a revenue profile for subscription products, which lags. And so a lot of the focus on scalable high-visibility revenue is definitely beginning to come through, and we're very confident about the momentum for the rest of the year. On a reported basis, revenues grew up by 28%. We've had a little bit of an FX drag from the euro and U.S. dollar rates compared to sterling and a little bit of a benefit from some contribution from acquisitions. I'll make the fairly obvious point. 28% growth is far ahead of the industry growth and continues to demonstrate we are winning share in the core markets that we're in. Now looking at the divisions. All divisions delivered growth in the period. Some significant growth coming from a customer research department, up 32% on the year. And the Data Services team, good growth at 9%. And really, want to make a specific point, Data Products increasing growth up to 28%, that really strong focus from the sales team. Data Products is a key differentiator for us as a company and really is a driver for increasing our global scale. So we're very pleased to have that back up to historical growth rates. The -- I guess, during pandemic, we saw a real increase in the amount of spend coming from our technology clients as we're kind of moving hopefully into a more life-as-usual trading environment. We still are -- we continue to be very diversified in the number of sectors that we're in. We've seen a continued expansion in some key growth areas, agencies, financial services and sports are a few areas we've been focusing on to augment with the strength that we have in technology. We've had a little bit of a decline in spend from government and charities where we're doing a lot of COVID-related work, just a small amount is being picked up by other sectors. We still have a very long term of sectors. You'll note the purple bucket here is other. It shows the strength of YouGov's data and that we're able to address many, many sectors, which provide future growth opportunities. The bulk of that is academic work. But within that, we also have retail, logistics and travel and energy, which are on [ the run ] at fairly significant sectors. Just going through the contribution by division. You'll see Data Products continues to be the primary profit driver for the group. And it speaks to everything that we have discussed with you in the past. A lot of operational leverage is achievable through Data Products in the way that we have designed those. I think we're very pleased to see customer research making significant gains. And we make the point, this is custom trackers that we've been focusing on, which really utilize all of the assets that we've been investing in, using a lot of our panel, using our technology, particularly the Crunch platform to really have high-quality deliveries to clients that are done in a very efficient scale. We've made a small improvement in margin, and we'll talk a little bit later in the presentation about where we see margins going next year and what we're controlling. I will preempt a question here. The central costs look like they have increased fairly significantly. Some of that is one-off costs. And we've done a small amount of branding exercise. We see our slide deck has changed in its staff. We've done a little bit of one-off work around the Board. We've made a note, Roger Parry will be stepping down as Chairman. So we have some [indiscernible] there, and we also have some specific tax rate we've been working on. And we're also carrying some costs around the incubators, which we are carrying with a view to realizing some more -- some growth in that into our growth plan, which will come off the one that we're currently in. We've had a very good period for cash conversion, very much focusing on working capital. This has probably been the heaviest amount of investment we've been making as a company. In the half, we paid out the bonus from last year. We paid out a dividend. We also acquired Link. And so we've been really focused on accelerating our cash collection in order to fund all these different pieces. So pleased to report a significant improvement on our cash conversion of 120%. But I want to make a point here, we have continued to invest in the group. We're slightly lower than we were last year. But we do make the point, we still will continue looking to invest, hopefully, at the current rates to support future growth. There's a few moving pieces in there, which I will discuss later. Some of the panel investment may be done, we are aiming to do that at a more efficient way by using Chat and bringing that cost down. But we have left the budget there to be able to capture opportunities where we see. And we continue to seek to bring in more technologists into the group, particularly to build out the future road map of the platform. I'm going to hand over to Sunny.
Sundip Chahal: Thank you very much, Alex. So I'm going to talk you through our three main divisions, and I will tell you what we've been doing in ESG since we last spoke. So I'll start with Data Products. We've continued the strong momentum in Data Products, as you saw on Alex' slides, and we saw in the -- that we saw in the second half of the last financial year into the first half of this financial year. So we have underlying growth in the period in question of 32%, which, as you heard from Alex, is far ahead of the market. You will remember that we restructured sales teams at the beginning of the last financial year into new business and account management teams globally. And we continue to see those benefits in this financial year. At the start of this financial year, we also appointed our very first CRO, and we're obviously very pleased with progression under his tutelage. We had recorded double-digit growth across all geographies with the U.S. and Mainland Europe recording the highest growth. Not surprisingly, the syndicated products subscription sales are prioritized by the new business sales teams and the new account management teams, and these teams are driving those strong renewal rates that we are seeing coming through. Off the back of that, we're also seeing the average contract length rising off the back of multiyear contracts. So all in all, we went through a slight loss of momentum last year, some growing pains as that structure bedded in, but we are beginning to see the benefits of that change. There was a slight decrease in the divisional margin, relatively minor, as expected. We went down from 33 to 32 percentage points this half year, but this is following expected investments to the customer experience team. And that was really expected. And long term, we expect the margin to rebound back across the division. So on to Data Services. We continue to see strong growth in the largest market, Mainland Europe as well as Asia. Growth in the U.S. was flat. And in the U.K., we saw a slight decline as public sector and nonprofit clients slightly ebbed away in the first half compared to where we were 12 months ago. We do expect the second half to see an acceleration, and this is due to the recent contract wins and increasingly as bundling fast turnaround projects with syndicated and custom work. We did see a slight improvement in the margin of the back-end integration of custom research, which we have been working on in the background, as you -- as we've spoken to before, to help drive those efficiencies and also underpinned by our CenX approach. And on to Custom Research. Very pleasing growth rates here. And we saw an acceleration in growth for Custom Research in the first half. This was primarily driven by strong sales pipeline in the U.S., where we're having a great success in the technology sector. We're very pleased with how that team is performing and we expect that to continue. We also saw broad-based growth in the U.K. across a variety of sectors. And of course, there was the contribution from the acquisition that we made in Switzerland, Link. We're also continuing to drive the connected data proposition. This is bearing fruit, particularly in our sector and account management teams. Again, we've invested in sales teams. We have a larger sales organization. We have more capacity and more firepower where we're approaching clients and we are winning ever larger client projects. The margin grew to 19% off the back of operating leverage benefits and a greater contribution from our technology clients that I mentioned earlier. I will update you on what we are doing in ESG. Very pleased to say that we've made significant progress on all fronts this year. In environmental, we're committed to monitoring and reducing our emissions relative to the size of our business. We're doing this in a number of ways. We are -- including, we continue to proactively reduce our carbon emissions by reducing business travel and we're doing that right across our entire business. In our London office, we are now using 100% renewable energy, and we're exploring similar options across the rest of our global footprint. And we're also moving away from single-use plastics and making changes in our office operations and suppliers. On social. There's a number of things that we're doing there. We remain fully committed to making people's opinions heard for the benefit of the wider community. And there's a number of ways to do that, both internally and externally. We are doing that. So we can firstly make sure that our own panel continues to be accessible and representative. And we've taken steps to ensure that the onboarding experience for all of the groups when they join in panel is much easier, which enables us to recruit from a much broader cross-section more easily than we have in the past. We've expanded the mandated U.K. pay gap report, which is available on the website. The latest version is just up there, to now include voluntary reporting on the U.K. -- on our U.K. ethnicity pay gap. And we also have a D&I, Diversity and Inclusion Council, to oversee all D&I initiatives internally, including the development of a D&I road map, which has been put together in collaboration with external consultancy. Finally, we, of course, are committed to providing a solid governance framework to support the business. We conducted an internal audit of corporate partnerships, memberships and affiliations. And we've implemented a new procedure for tracking and evaluating any potential partnerships. We continue to revise and enhance the supplier approval process, so we introduced a supplier code of conduct to ensure that YouGov only works with suppliers that align with our values and practices. And last, but not least, we were delighted that we won the London Stock Exchange AIM Corporate Governance Award in October just gone, so well done, the corporate governance team. And with that, I'm going to hand back to Stephan.
Stephan Shakespeare: Thank you, Sunny. I'd like to just, before we go to the next section, elaborate on one aspect of the ESG part. But of course, for us, the social mission is the absolutely essential basic thing that we do because everything that we do in our commercial work as well as in a huge amount of other work, pro bono work as well is to give everybody a voice, is to give populations all over the globe every splinter within the -- of opinion within those populations, a fair footing, a fair platform to be heard and to influence the world in which they live. So we do believe that we are perhaps unique in the degree to which -- all of our work has a massive social mission, and we invest such a large proportion of our work, of our data as well to the -- directly to the public good through public data. We spend a lot. We foreground a huge amount of our data for use for everybody. In fact, we have a principle that all of our own proprietary data at top line level can be made available to the public to serve lots of different academic and social needs. So it is at the heart of everything that we do. So looking forward at the strategy, the next slide, please. It -- we, first of all, very broadly, we feel very much in control of our world. I should say that, of course, we have a very changeable world at the moment, and in that sense, predictions are hard. But in terms of what we do, we do feel as if we have a lot of momentum. We have strong top line growth, as we've talked about, and that feels like it's continuing, and we know how to make it continue. We are going to control growth in the overhead costs because we have invested heavily ahead of the curve. That isn't a level of investment that we will keep doing at least in one area, which is the overhead costs. We need to keep that. We will keep that in the final year well below the top line growth, still growing it. We're not going to cut in order to hit any targets. We are going to continue to grow the company in all areas, but considerably less than the top line growth than the revenue growth in that final year because we have invested ahead of the curve, and we will be taking the advantage of that to really see an upswing in our profit margins in the final year of the 4-year plan, but we think well beyond the 4-year plan. We think of the next plan, which may be a 3-year plan, which will really be about getting the value out of the platform that we've built. So we're continuing to build that platform. We're continuing to invest in that platform. We're continuing to work on ambitious growth that goes well beyond the current foreseeable plan. And we make absolutely no excuse for continuing to invest in our technology platform, or that goes with it, because that is what is driving our growth and our ambition. Next slide, please, Hannah. Thanks. So you are aware, we've talked a lot about our previous -- in previous sessions about our strategic plan. And the parts of it are well known to you. YouGov Direct has been launched in more markets, and it's integrated now with the YouGov Cube. And in fact, it's going to be integrated into a bigger concept of our self-service offer. More of that in a moment. We've been expanding our global presence. 15 new markets over the last -- not in the last half year, but over the last year or so. We've entered several new countries, some -- partly through acquisition, partly through organic growth driven very much by client demand. We have put a lot of effort into the YouGov platform. That means we've developed and launched the first phase of fusion of -- that is to say, unifying our member bases as it's required to be a true platform. The second phase of that is developing our self-service user interface to really be the best in class. That means a combination of direct and collaborate. These are two different pieces that we've had that have enabled direct in the case of outside -- external clients and collaborate internal clients to have more control over the platform themselves. And that is now being unified to create an offer that is -- that turns us more and more into a platform where self-service can itself go to different levels of managed additional help. It isn't like pure self service and pure custom, but to have a flow between those 2 things, driven a lot by an expansion in profiles. So we now have global variables, global profiles, as we call it. We used to have that in a few countries. We have a core set that now goes across the entire panel, all the countries, and that will be launched very shortly in the second half and we've been expanding ratings as well. So the fact that we have over 10,000 micro brands that can be cut by over 1,000 variables, that really demonstrates what the power of connected data, and that's just our top line public data that we share. And so you can imagine the richness of that, that is growing there and the flexibility for how that could be used in lots of different ways. We continued the development of Crunch and improving dashboard tools with new functionality and of course, the YouGov Cube, which is our proprietary data, which is structured in a way that it can create more products and work just as well for custom projects as it does for Data Products, as you've seen in the growth of those custom trackers, for example, we've added to that observed online behavioral data sets and financial transaction data. So that is growing, too. So we have continued, as you would expect us to, to build the technological and data basis of the platform that is YouGov and that is our future. Very quickly to this, CenX, is -- which you've heard a lot about, continues to make us a more scalable, a more streamlined company with finance, data design, research and customer service all benefiting from the -- an increase in staff, building out of apps and platform -- aspects of the platform that enables things to be done more efficiently and that is really contributing to becoming that true platform I constantly talk about. And then one more, I think, Hannah, for me the -- there's another slide. Yes. Finally, our long-term targets. We are maintaining our journey to them. As you know, we're looking to double group revenue and double the adjusting operating profit. That is how we describe it in simple terms. It is, in fact, the earnings per share, EPS, [indiscernible] and how we get there or how we aim to get there. I'm going to hand you over to Alex.
Alex McIntosh: As Stephan says, we have one eye to hitting our short-term targets but also continuing to sort of invest to capture as sort of future growth opportunities. So we're going to make the point where we have a lot of focus on FY '23, but we also see there is significant future growth potential for the company. And so we thought it would be useful just to paint a kind of qualitative picture. This isn't guidance. This is really giving you some insight into where we see our -- the building blocks to achieving our targets come from. The first part, which is looking at revenue. We make this point, it's really about sales momentum and that we're going for subscriptions, we're going for annual subscriptions, we're locking in that revenue. And a really good sales period gives us a benefit for future revenue and doing the same with custom trackers. The plan was always to be back-end loaded. As Stephan says, we're investing upfront in order to build the momentum. You'll see on the chart here, we're giving you the actuals over the first 2 periods of the 4-year plan from FY '19 starting at GBP 136.5 million of revenue. Do want to make the point that the group looks significantly different than it did in FY '19. There's a significant amount of change that has happened whilst we continue to grow top line. You'll see we are pointing to FY '22 is on plan as we're pointing to the growth ex-Link,which is looking at just our pure organic growth. We're really aiming to continue what were the current growth rates that we're seeing, particularly in customer and Data Products. Clearly, we'd like to see an acceleration of Data Services. We see all three divisions being -- should be strong contributors to top line growth. What we want to make a point here is just maintaining momentum sort of looking at the block within FY '22 and '23, and really it should be achievable for us. And we do make the point these are our targets, these are not our forecasts. But this isn't a significant [indiscernible] or something that looks unachievable. It is within our control, and we do make the point the clients love the products, we're selling very well, and we are very much continue focusing on sustaining these growth rates that we have achieved. Hannah just the next slide. This one is a little bit more backwards looking in that just you understand our drivers for cost. Do want to make the point that all of this is within our control. You're looking at again, a qualitative bridge from FY '19 overheads to what could be our FY '22 overheads. The bulk of the investment has been made in staff and new teams being built in order to drive that top line growth. As we go along, the track -- I appreciate there's quite a lot of information on this. the biggest investments we've been making are in the sales teams. And that obviously is pretty apparent in the performance we're achieving on top line. We have been making the comments just at the end of the [ grey box ]. There is other headcount is really delivery and data scientists and investment in product development people so that we can continue growing and delivering the product suite. Increasingly, we're using the CenX model to try sort of limit how much investment we make in local teams to really generalize standard items that can support global delivery. And so going forward, and we make this point, managing the growth in the cost base is within our control. Do make a point, we don't need to add significant more heads to deliver on the existing plan, but we do make the point we will be adding heads because we see this benefit in going for future growth and really building out the technology platform that picks up and speaks to. I just want to give a small -- sorry, brief rather overview. It's sort of things that could help us and things that could drag on achieving performance. Again, sort of gross margin could be benefiting from increasing the number of the mix in data product sales. We've got a lot of operational leverage coming from selling existing data to clients. If we are moving into more countries or if we are moving into more sectors and have to collect more data, we may have to invest more in data collection. It's not necessarily a bad thing, but it does mean that would be a decision for future growth. Our operating profit is primarily dictated by staffing. If we increase sales within products like data -- within products, we don't need to increase staff as much. Many of our clients self-service their own client service. They take their own analysis and the data, and we don't need to add additional headcount for that. And so that reduces the client service demands. We do need to reduce how fast we're growing our staff, but we may make a decision or opportunities for us to not do that. We're looking at using the CenX model for an increasing number of activities around the group, which again has the benefit of lowering the overall overhead cost for the group. And one of the key things that we're working on is how we get more effective at recruiting using technology for the panel. Our Chat technology is going to be a useful contributor to really driving down the overall cost and also potentially increasing the retention rates within the panel, which reduces our overall sort of CapEx requirement to continue building on the panel. Obviously, all of those things can go the other way. We may need to be investing more in panel. We may need more technology investments to accelerate our road map and our time line. And I -- like everybody around the world, we never face some inflationary pressures coming from staff costs. That's not unique to anyone. But again, we make the point, the CenX model is a good way absorbing that. We do make the point we're trying to limit central costs as to the smallest possible growth. But clearly, as we get bigger as a group and we have governance clients, we may need to add more, particularly around ESG and financial regulations. We may need to be adding more in technology, particularly around cyber or just as the group is getting larger in more countries, we do need more systems to support our staff. But again, what drives that positively is really sort of controlling costs around core functions like legal, finance, HR and the governance team. With that, I'm handing over to Stephan.
Stephan Shakespeare: Yes. Just very quickly, as I mentioned, we have positive sales momentum continuing across the company. Our current trading is at or slightly ahead of Board expectations for the full year, and we are maintaining the levels of panel technology and platform investment at similar levels. We -- I've put the building blocks in place for the investments that we need for long-term targets. I never tire of saying that although we have very specific plans and very ambitious targets at these milestone endings of these -- it was a 5-year plan that's now ending a 4-year plan. We'll be embarking on maybe a 3-year plan, who knows, after that. But everything that we need to do for that and to keep growing at the rate that we're going is being put in place. And there is no cutting things back in any way that could hurt our ambitions to be the #1 company in our field, in our area. We continue to see no material impact from COVID-19 and [indiscernible] from Russia, Ukraine conflict. Our return to office plans are underway and we'll be sensitive to local -- obviously, local concerns and local regulations. We want to make it -- we want to be flexible, but we also want to see staff returning to offices as much as possible and to work in teams as they used to. But as I say, we'll do that in a very adaptive way. [indiscernible] in place for full in compliance with global sanctions and we're monitoring all that very carefully. And we don't have very obvious -- anything at risk from that, in particular, other than, of course, what happens to the global economy. So from our point of view, we see a very positive future. We're looking ahead to another great year, more finishing this year and delivering on our ambitions for the next year. So I hand to Sunny, who is going to take the Q&A session.
Sundip Chahal: Thank you, Stephan. I just sent a request asking -- okay, so we start getting some questions in. I believe you should be able to submit them through the Q&A function, but there's one that's coming through the chat, which we will take. Okay. And we'll just come in through the Q&A. Okay, let's start with the Q&A question. There's a question from [ Andrew Ripper ]. Stephan, if you don't mind taking this, is there an optimal panel size? Do you expect to grow international panels, the same percentage of populations as in the U.K. over the medium to long term?
Stephan Shakespeare: Well, there is an optimal panel size for the Cube. That is to say, we want -- you need a certain size in order to cover all the things that we want to put into that. But if -- it needs to be large enough to have the data to do all of your research. But if it's too large, then, of course, you're not going to get complete coverage in the way that you need to do for analysis. You want people to be answering most of the questions in the -- or all the questions of the core set. I don't want to get technical about it, but you can imagine that a too large panel would mean that we would spread the data too thinly across too many people for it to be a proper connected data set. Having said that, we are now in a new era where Chat allows us to have a lighter touch relationship with survey taking. And it means that we can serve surveys to people based on the kinds of background or their profiles tell us. If you're in a self-service system and you want to talk to, I don't know, young mothers in Liverpool, then obviously, you want -- if you want a large sample for that, you need a very much larger sample than -- very much larger panel than you would ever have for your Data Products. To achieve that, we are now looking at having layers of panel that is to say, core panel that do the connected data part and then broadening that out through Chat and other ways like that and resonance allows us to reach wider audiences as well. So that, that secondary panel, if you like, can be as large as you want because it isn't dealt with and paid in the same way. So it's a complicated question, but we are very happy with the size of our panels for the work that we're doing and the work that we can foresee. So we're not looking to make gigantic leaps in the size of the panel from a -- from the paid acquisition point of view.
Sundip Chahal: Thank you, Stephan. Alex, I could answer this, but I'm going to give this one to you. Fiona sent in a question. She said, is there any margin implication from having a larger number of multiyear contracts? Do these larger clients expect a better deal?
Alex McIntosh: I'm going to give you a very boring, it depends. In some cases where we're doing something, which is mission-critical to clients, obviously, they are willing to pay a premium for very high-quality data that we're providing them because there is no real alternatives for them to do this at scale. But it is inevitable. The more major multinationals you work with, you deal with, you pivot more. It's a question we had a few reporting cycles ago. We do expect procurement to come and negotiate hard. A lot of what we try to do is really establish with the client the value proposition as opposed to the cost, this being a pure discussion around cost. Where we see a little bit of margin pressure is it's not where we're getting a multi-country, multiyear deals. It's really where a client is trying to get us to do -- to work with them centrally as well as working with them locally. And as we get sort of more effective as a global company, we can do better at that, but inevitably more coordination globally between teams always sucks up a bit of time. But I make the overall point, we're not seeing extreme pressure from the most country buyers of our products.
Sundip Chahal: Thank you, Alex. Fiona, I will take your next question. Can you talk about staff churn? And how easy is it to recruit for the CenX? I'll start with the first part. So undoubtedly, we have seen a high turnover staff versus historical levels, and that has been very patchy across our geographies. I think we're emerging from that period of instability in our main geographies. We've seen that particularly in the U.K., the great resignation, we certainly weren't immune from that. In terms of other geographies, I think it's been less pronounced. And what we have seen is in the CenX depending on the role and depending on the location. So we have CenXs in four different locations -- sorry, four different geographies -- countries, sorry. So we have more than one CenX in India, for example. It really depends on the role that we're increasing. If you will, our core business, which is research and operations, we've never struggled to hire a talent we need in either Mumbai or Bucharest. We obviously have a development space -- development team in Warsaw. And I think developers around the world are becoming harder and harder to find the right talent, we have a pretty stringent test that we administer for development intake. And the great thing is that test can be administered anywhere around the world. It's a common language. If people pass that test, they then go on to the next stage. So long answer to your short question, but we certainly experienced it. We think we're coming through the upside of the staff churn, so a period of stabilization. And we certainly don't feel -- we don't have any real issues recruiting for CenX. There's a couple of questions on the chat. I'm going to stick to the questions in the Q&A now. Once we get through these, we'll go back to the chat questions. There's a question from Bridie. You have indicated confidence in delivering 25% growth in Data Products and customized both this year and next. This is above current consensus. Should we take this as your official guidance? Do you want to start with that one, Alex, before we go into the rest of the question?
Alex McIntosh: I will do. No, don't take it as official guidance. This is -- we do continue to make the points sort of get through this year, and we are obviously giving some guidance on that. But these are our management targets. Really, we are putting in place one of the building blocks, but we still have work to do in order to deliver all of this. When we come out of full year in October, we will be providing -- at that point, we will be providing guidance. But clearly, what we're attempting to do is preempt a lot of the questions because it clearly is a significant focus for our [indiscernible] growth portfolio.
Sundip Chahal: Okay. And slightly repetitive but I will go through the rest of the question. If I have [indiscernible], you are indicating that you are not ready to the [indiscernible] margin targets by 2023 due to growth opportunities that you have seen, which may take you into your next phase of growth. Longer term, do you still see the 27% margin target is achievable? And what revenue base do you think is required to deliver this target?
Alex McIntosh: I'll start with one, I guess, ideological position. I wouldn't say the target is irrelevant. I think having a stated target where we want to achieve a higher margin really frames everything that we do as a company. It means we focus on being more effective. It means we focus on being more efficient. It means we invest in technology with an aim to reducing a lot of the manual things that we would have historically done as a business. And investing in data clearly gives us the ability to achieve a higher rate in margins. There's a healthy thing as -- for a company to continue to try beating at the same time as growing. So I wouldn't say it's not important. I think it's actually critical to have at the core of what we're trying to achieve as a business. I think we are making the point, but it's optically -- there's a significant jump that we'll be making into next year, and we will do our [indiscernible] to get there. I think sort of longer term, yes, I think we feel pretty confident it is achievable, and we can make this point driving more sort of automation through the platform, either we're collecting the data and clients are [indiscernible] use of that data or at like self service, clients are beginning to run their own surveys through the system that has a huge amount of efficiency that we are seeking to capture about the margin.
Sundip Chahal: Sorry, Alex, you can have the rest after this last part of this question. What percentage of revenues would you consider to be recurring? And how has this changed?
Alex McIntosh: It has definitely increased. Right now, we have about 50% of the revenue is recurring. That's -- that really comes from Data Products is fundamentally 100% recurring and the clients are mostly subscribing to the data. We do have some examples where sort of clients have continued [indiscernible] and with a [indiscernible] moving them up to a subscription. What has changed has been our custom business, which historically was completely at heart. Every year, we had to sell pretty much the entire book of business again. We have roughly 1/3 of that now is contracted revenue. And I want to make the point, it's not just contracted for 1 year. We do have quite a number of clients that we have a 3, at the longest about 5 years of contracts where we will be running a research program for them, which is standard every month or every quarter, it's the same research we're running for them, which is where you get the efficiency, but we are seeing an increase in number of clients committing for a longer period.
Sundip Chahal: Thank you, Alex. Stephan, can I ask you the next question from Jonathan. Please could you offer some color on momentum in newer areas such as Direct and Chat? Are you pleased with the customer/panel engagement?
Stephan Shakespeare: Yes. This is a harder area because there are so many sort of -- this is highly experimental still in areas which have been really positive and areas where we are learning and adapting. So for example, there is obviously a clear interest in hunger for self-service and to build a great interface is difficult. So we've taken the learnings from the first two, embarked on a significant upgrade of that. And on the Chat front, there are places where we've had fantastic success. Other areas where the success is not so great, different countries, also different themes and for different purposes. And so I would say to you that there is a lot of upside here that we are expecting to come through. We've seen positive developments throughout the last 6 months. But we're not obviously attaching figures to it yet. But this is -- these 2 pieces are absolutely key to the strategy, and that's why we are -- it's not a one-off hit. It's an experimental process. That is to say some things have gone not so well. Some things have gone really well. We know what we're doing here. We know what -- how it's going to affect the future that's all part of our next development of our strategy.
Sundip Chahal: Thank you, Stephan. Alex, I'm going to get back to you with a question from Steve Liechti. It looks like you are very comfortable on your doubling sales targets to FY '23. While you say some cost/investment is now done, the message seems to be that the overall investment does continue. Does that mean your double margin target to FY '23 is now less relevant or doable as you focus on longer-term sales growth upside? Is any of the OpEx cost will be driven by salary inflation, et cetera? And you are suggesting a 3-year plan from here, any detail you can give us on why that is the right length versus previous periods? So sorry, Alex, there's quite a few questions in that.
Alex McIntosh: That's okay. I won't repeat the margin to the point that we are really focused on our targets. The inflationary piece. One area that we obviously do see it is where we have churn and then we're replacing staff. You'll see that the market has moved a little bit. And with that, we are obviously keeping an eye on the market all the time so that we are sort of actively retaining staff. It's obviously we do not want a brain drain, so to speak, within teams that we have invested in. But do make the point, we are pretty definite to say really, but we are an online company. We have always been keen to support staff in a variety of geographies. So we are -- where we can, supporting staff mobility if people want to move. We're also using that proactively to recruiting those in geographies where we can find talent at the -- at an acceptable market rate. So yes, it is an ever that we have -- that we will have some inflation pressure, but we are managing that. In terms of the length of the plan, I think in part just going backwards, and I think we have to remind everyone, the first plan was really to kick start growth in a company that was really [indiscernible]  doing a lot of sort of nonscale activities actually required quite a lot of heavy lifting to essentially take out sort of noncore activities to really find what would be core for the group and then have the confidence to invest in those embryonic activities, which have now become significant growth drivers that inevitably would take time. I think now in terms of having shorter plans, we've really got the momentum. We've got a lot of client relationships, which we can build on. I think a lot of the building blocks continue to become stronger foundations for the next plan and a second points to delivering on the platform is something that's not a significant amount of time away. We do need to do more work to deliver on it, but we should be able to get that faster. But again, this is all sort of at the planning stage, Stephan, if you want to expand on that further? You're on mute.
Stephan Shakespeare: Yes. I mean you're talking about the next phase of our strategy. It is very much at the planning stage. We are meeting with the Board in New York in a few months, and that's one of our annual events that we have at the Strategy Day and that we'll be looking at what happens afterwards. We are very much -- as I said, we're very much aiming to continue to grow at these levels and to continue to innovate. It's core to the nature of this company that we want to be always doing the most interesting new things that are -- in keeping with, of course, the pieces that we've already built. And you know what that looks like. I do want to say one thing about the impression that we're giving that we're confident about certain stretch targets, and what lies beyond that. We do feel very much that's in our hands to deliver on things that you expect. We can see the buoyancy of the sales growth. We know where there are more opportunities for us and we can see that there's a -- we're very much in control of the degree of growth in costs that we will -- that we find acceptable for next year, and that works for us. What we can't see, and I'm -- I really need to emphasize this strongly, you all know, you don't need to hear from me about how hard it is to predict where this world is going to and what happens in our markets and where the economy goes. We are confident about the things that we can control, but we really can't say anything beyond that. It's obvious, but I need to state it. I don't want to give you a sense of overconfidence. We're not saying that we can hit targets 18 months from now that are still extremely ambitious. We're saying that we feel we are in control of the bit of the destiny that we think we can control, but there are lots of things that can happen. So please, if you allow me to say that it is still a risky world and I don't want to make any predictions that sound firm.
Sundip Chahal: Thank you, Stephan. Just a few more questions. We have 7 minutes remaining for questions. We'll try to finish exactly at the half past. There's a question from Trevor. I'll take it and give you guys a little bit of a rest. Question from Trevor Fitzgerald. Can we have an update on large financial contracts, which have been won recently and the pipeline? Are you seeing similar dynamics as you enter new geographies and build a presence? So I'll kind of start with the back end of that question, please, if you don't mind, Trevor. So we are increasingly working and pitching for clients that require a global footprint and global presence. And now there's a slight nuance in that, that many of our competitors have often said they have a global business and haven't actually had a global presence and have serviced those clients by using partners or affiliates, et cetera. And we know that because our clients have then subsequently found out that, that isn't the case. What we are doing is that we have been building our panels off the back of client wins. Client demand has given us to open panels in lots of new geographies. You saw the 15 that were mentioned in the presentation. That then has meant that we are globally and particularly from the U.S. and the U.K., and these markets are -- we have often said that the U.S. is a primary driver of our sales growth, our clients that are based in those geographies are then able to buy our products across our expanded footprint. Expanding the footprint or opening a panel doesn't necessarily necessitate opening an office in that geography. And there are locations and countries where we have panel, but we have absolutely zero intention of opening a geography. It really is the ability to be able to sell our products and service our clients on a global basis which is the first and foremost priority when it comes to where we open our panels. And often that is client-led. I can't obviously go into too many specifics about individual contracts just to say that, obviously, as the footprint continues to grow, we are then obviously able to service those clients across an increasing number of geographies. And then naturally, that tends to increase the overall ticket price on those contracts. Stephan, there's a question from Fiona, which is what is the biggest challenge do you think for the group on the ESG front?
Stephan Shakespeare: That's a really hard question for us because I do think that what I said before is that we have such a powerful social mission that we don't have to sort of struggle to think what to do. On the E part, I mean, everybody can do more, but we're not a naturally resource-heavy company, right? We don't -- it's fairly streamlined already. On the governance side, we do have a terrific team. Winning that AIM award for governance -- for corporate governance, attest to the fact that we have a really brilliant team, and we have a very strong Board, and we're very confident in that area. And I've only talked about the social issues itself. So perhaps I'm sounding complacent and that's our biggest problem because it is a company that is very much aware of ESG, it's inherent in our work. It's what we hear back from our panels. We know what kind of world they want to live in because they tell us. And so we feel we're very in tune with that naturally. But you're right, but we should be asking ourselves that question. And I guess our biggest problem could be complacency in that case.
Sundip Chahal: Thanks, Stephan. There's another question from Steve, Alex, which I'm going to give to you. On a 3- to 4-year view from here, what do you think the right margin for the business is?
Alex McIntosh: Yes. Maybe give you a -- it depends on really what the outcome of our plans are. We -- I do make the point, we continue to see significant growth opportunities. And so if we have the opportunity to invest heavily into the group to really go for very substantial as revenues going forward, we may make that decision and clearly we will come out and sign post what those decisions and subsequent plans are. But I think long term, we want to be able to see every year we can make as a modest increase to that once we're past our [indiscernible] target. But again, without having synergies on planning, I can't really commit to a long-term target now.
Sundip Chahal: Sorry. My turn to be unmute. There's a question from Edward -- Edward James. Alex, I'm going to give this to you. Firstly, what mix of sales between the 3 divisions do you believe is optimal on a multiyear view and therefore, where you see the greatest growth potential? Do you want to start with that one?
Alex McIntosh: Yes. It is a good question. We don't have really an ideal mix that we target. Clearly, if we were just getting subscription revenue, we would have a significant uplift in revenues, but we recognize the bulk of our clients' research budget is spent on their own bespoke custom research. And so having an offer that aligns the two that we have our own syndicated data sold at rate card, and then we have a customized offer that can sit on top of that or at least sort of lend very heavily from a lot of the benefits we have from the data and panel investment, means you're able to capture much larger contract values in the customer department. And I think you can see that in the level of growth that has come through. Really, it's less about the optimal mix and making sure we're selling things that we know we can do very well. Stephan is very clear about this internally. We don't want to go for every single piece of research that a client may want to run. Some of that may be things that are noncore. Some of that just may not be things that we can do very well. It's very important that we want to be the best and the biggest of what we can do from what we have invested in and we believe we have a very compelling offer for that. But it doesn't mean we're going to chase every pound, dollar, euro for the client is going to spend on research. As that moves forward, clearly, we'd like to see more of that coming through on platform, and that's where -- to see on our margin. We may see the economics of that model shifting as we become more of a tech and data provider as opposed to one, which is sort of data and research.
Sundip Chahal: Thank you, Alex. We were halfway through the questions. So I'm going to finish the question. We are, however, out of time. However, we will finish the second half of the question from Edward. Secondly, please, could you discuss how the amortization cost of the panel evolves over time given the investment in the panel in recent years and the increasing average maturity of the panel? More broadly, should we expect monetization to reduce as a percentage of sales meaningfully over the next 18 months and beyond?
Alex McIntosh: Going backwards, yes, as a proportion of sales, yes, it will reduce. You think you can consider we have essentially 2 classes of panel. We have mature panels in U.K., U.S., Germany, where we've been running research for a very long time in those panels. They have average lives of over 3 years at a panelist level, and so we amortize investment in those panels over a 3-year period. There is a buildup of activity you need to sort of put into new panels. And so we do make this point, we're investing in smaller panels around the world that augments the core markets we're already in. It's inevitable. You don't have the variety of services going through then obviously volumes. It's pretty obvious if you join a [indiscernible] service, you need service [indiscernible]. And so as you build up your research activity in a new market, it's a -- we'll have a higher churn. And so we're recognizing that by reducing the amortization rate for those panels. As we increase the survey volumes and get bigger in those new markets, that amortization rate will start to elongate again to 3 years because we'll see the average life of panelists. There's no reason why they should not become -- or they should not move to 3 years like we do in the more mature panels.
Sundip Chahal: Thank you very much, Alex. Thank you, Stephan. I think we're out of time now. And so thank you, everyone, for attending. And that will be the end of this results -- broadcast. I believe there may be some questions that we haven't had a chance to answer, which we will follow up directly.